Operator: Good morning and welcome to the FMC Technologies third quarter 2010 earnings release teleconference. All lines have been placed on mute to prevent any background noise. After the speaker’s remarks, there will be a question and answer session. (Operator Instructions) Thank you. Your host is Rob Cherry, Director of Investor Relations. Mr. Cherry, you may begin your conference.
Rob Cherry: Thank you operator. Good morning, and welcome to FMC Technologies third quarter 2010 earnings conference call. Our news release and financial statements issued yesterday can be found on our website. I would like to caution you with respect to any forward-looking statements made during this call. Although these forward-looking statements are based on our current views and assumptions regarding future events, future business conditions and the outlook for us based on currently available information, these forward-looking statements are subject to certain risks and uncertainties that could cause actual results to differ materially from those expressed in or implied by these statements. I refer you to our disclosures regarding risk factors in our SEC filings. I will now turn the call over to Peter Kinnear, FMC Technologies Chairman and CEO.
Peter Kinnear: Good morning. Welcome to our third quarter 2010 conference call. With me today are Bill Schumann, our CFO, John Gremp, our President and COO and Bob Potter, our Executive Vice President. First I will share with you some highlights from the quarter. Bill will then provide you with details on our financial performance, and our outlook for the fourth quarter, and then finally, we’ll open up the call for your questions. We had solid earnings and another quarter of strong inbound orders. Our diluted earnings per share were $0.66. The total company backlog rose 28 percent to $3.6 billion. The backlog increase was led by $1.2 billion in subsidy orders including orders for 65 subsea (freeze). The subsea book to bill ratio in the quarter was 1.9 and our subsea backlog increased for the third consecutive quarter. Our year to date subsea inbound of $3 billion is already our second highest annual total in the company’s history. The subsea orders this quarter were a good reflection on how we developed our business through our strong customer relationships. We received a $520 million award from (Potel) for the CLOV project in Angola. We believe our strong local presence and in-country manufacturing were key differentiators in winning this order. We have performed work for (Potel) in Angola before on a number of projects including (Jurisol), Rosa and (Passfor). We also secured $190 million order with (Gasfrom) for the (Kiran Skoya) project offshore (Sackland) Island, our first subsea project in Russia, and we’re very pleased to add (Gasfrom) to our list of subsea customers. In the North Seas, Statoil has placed a second fast track order with us for the (Katla) project offshore Norway. This $75 million subsea award is our second in a series of expected subsea projects from Statoil that utilized our standard subsea solution. As a result of our strong year to date subsea order activity, we have grown our subsea backlog from $2 billion at the end of the year to $3.1 billion at the end of the third quarter. We achieved this level of order activity despite the impact from the drilling moratorium in the Gulf of Mexico. New orders from the Gulf have significantly slowed, and our offshore customer support activity has declined, but we have had no project cancellations or suspensions in our existing subsea backlog. The slowdown of new project orders and customer service activity in the Gulf did impact our subsea revenue and profits in the third quarter, and we expect this to continue into the fourth quarter and into 2011. We do not expect a meaningful positive impact on our subsea orders from the lifting of the Gulf of Mexico drilling moratorium until sometime next year. Despite this, the Gulf of Mexico situation, we continue to expect our subsea orders in the fourth quarter to be strong and our backlog to grow and our surface well head business North America activity remains strong, drive by both liquid and gas shale activity. Combined with our international activity, we recorded increases in orders, revenue and profits in surface well head compared to the second quarter of this year. Shifting to our energy processing businesses, the ongoing strength of North America rig count and pressure pumping activity continued to drive our growth and our fluid control business. In fact, we had record fluid control revenue in the quarter and its backlog is at an all-time high. The near term outlook for this business remains relatively positive, but is still subject to fluctuations in the rig count. As for our other businesses, our performance has generally been in line with our expectations. So in summary, we had record revenue and backlog in fluid control. We had solid execution in subsea along with near record orders, and we raised our full year EPS guidance. Now let me turn the call over to Bill Schumann.
Bill Schumann: Thanks Peter. Energy production sales for the quarter were $770 million, down 17 percent from last year. The decrease was mainly driven by subsea which was impacted by a lower beginning backlog level than a year ago, the timing of new projects and the effect of the recently lifted drilling moratorium in the Gulf of Mexico. So far, the impact of the moratorium in the Gulf has not been as large as we anticipated last quarter. As Peter mentioned though, there will be continued impact in the fourth quarter of 2010 as well as more impact in 2011 as a result of both press customer support demand and the continued delay of significant subsea projects. Energy production generated operating profit of $106 million in the quarter, down 25 percent from the prior year quarter mainly due to subsea volume and profit margins. The 13.7 percent profit margin we recorded in the quarter was slightly above our expectation of 12 to 13 percent for the second half average. Inbound orders and energy production were $1.4 billion in the quarter, including subsea orders of $1.2 billion. This subsea order amount was the highest level since the fourth quarter of 2007 when we booked our billion dollar (pascore) project. It did not include the recently announced Shell BC10 Phase two project which will be booked in the fourth quarter. Backlog was $3.4 billion including subsea backlog of $3.1 billion. We continue to believe that we’ll finish the year with subsea orders of over $4 billion and backlog near $3.5 billion. Energy processing sales were $193 million, up 16 percent from the prior year quarter. The increase was entirely driven by our fluid control business, whose sales were up significantly from last year and sequentially as a result of strong North American pressure pumping activity. In particular, our flow line business, comprising the (Weco Chicksand) brand products had record sales and was complimented by increasing sales of well service pumps. The other energy processing businesses all had lower sales in the quarter. The energy processing segment generated operating profit of $35 million, up 40 percent from the prior year quarter. Again, that increase was primarily the result of our performance in fluid control as it continued strength in North American pressure pumping improved its volume and operating leverage. Total inbound orders or energy processing were up 43 percent from last year’s third quarter. The improvement was mostly driven by fluid control, but was aided by some strengthening in measurement orders. Backlog at the end of the quarter was $264 million. Fluid control ended the quarter with record volume and backlog. Now for the corporate items, corporate expense in the quarter was $10.2 million. Other expense net of $15.2 million decreased $5.8 million from the prior year quarter. It was impacted by $3 million in foreign exchange losses and $2.1 million in charges associated with our non-qualified deferred compensation plan. The tax rate in the quarter was 28.7 percent, slightly less than we had expected due to a lower mix of income subject to tax at U.S. rates. At the end of the third quarter, we had a net debt position of $67 million, down sequentially from $196 million at the end of the second quarter. It was comprised of $512 million of cash and $579 million of debt. Our cash position benefited from advanced payments on subsea projects inbounded during the quarter. We averaged 121.8 million diluted shares outstanding in the quarter and we spent $41 million to repurchase 679,000 shares of common stock. We now have 2.5 million shares remaining in our Board authorized stock repurchase program. In the quarter we spent $26 million for capital additions. We now expect capital spending to be approximately $100 million for the full year as some of the planned spending has moved into next year. Turning to the remainder of the year, we expect strong subsea orders in the fourth quarter despite the situation in the Gulf and for our subsea backlog to grow. Additionally, the fluid control business should continue to perform well as it executes its record backlog. We’re raising our guidance for full year 2010 diluted earnings per share to a range of $2.90 to $2.95. This compares to our previous full year guidance of $2.70 to $2.90. Operator, you may now open up the call for questions.
Operator: (Operator Instructions) Your first question comes from Bill Sanchez from Howard Weil.
Bill Sanchez – Howard Weil: Good morning. Thank you.
Peter Kinnear: Morning Bill.
Bill Sanchez – Howard Weil: Peter, Bill, I guess a quick question just as it relates to subsea. As we think about, Bill your comments here for fourth quarter and I guess how we exit 2010, if I’m looking at the fourth quarter guidance that you’ve given from an earnings perspective and just trying to back into that as I think about what type of subsea revenues let’s say or total energy production revenues you need to generate in the fourth quarter, I guess math is suggesting somewhere around $800 million of revenue on the subsea side, and something probably over $900 million on the energy production as a whole. Given the $3.5 billion backlog you’re looking to exit subsea for yearend that would suggest something in the order of about $1.2 billion in orders in fourth quarter which to me is a repeat of 3Q. I’m just wondering when I look at the sheet that you all outlined in the past in the terms of significant orders, I don’t see anything here that seems to get you there just on the standard subsea tree side. Are there other items that are going to be driving that overall subsea order for the fourth quarter that we should be aware of?
Bill Schumann: Well Bill, let me just comment. They’re roughly correct. We probably don’t expect quite that for sales, but close, and you’ve done the arithmetic right. It kind of backs into over $1 billion in orders for the fourth quarter and the year at $3.5 billion. And I’ll let John comment on the projects.
John Gremp: Bill, certainly entering BC ten Phase two was an important part of the inbound that we have to get in the fourth quarter. We’re also – there’s also a list of other projects, one is West Africa, possibly one in Brazil. So we think we can do it, but it also depends on a certain amount of book and turn, and the customer support worldwide holding up.
Bill Sanchez – Howard Weil: OK. And Bill, any thoughts at this point in terms of you know, exiting the year in terms of total energy production in our subsea backlog. Can we get any early read in terms of revenues for 2011 right now at least on the subsea side?
Bill Schumann: Well, you know we mentioned we think we’ll end the year with about $3.5 billion in subsea backlog, and you know we’ve traditionally – it’s a little tricky to look at how much of backlog we convert in a given year because this year, we entered the year with low backlog and we converted I think 80 percent of it. But if you look historically, we probably convert more like 60 percent of our backlog when we have a backlog of over $3 billion. And you know we typically have customer support that doesn’t really get into backlog except on a monthly basis of about $700 million. And our book and turn you know, varies year to year but it looks like it was about $500 million this year and maybe you can look at some numbers like that, just to give you an idea. Those are very rough, but look; we’re going through our budgeting process in November. We look at over 100 different projects in subsea and you know we’ll have a much better feel the end of next quarter.
Bill Sanchez – Howard Weil: And I guess just one last one for me. I know the guidance last quarter had been 12 to 13 percent on energy production systems. You’re coming better than that. Should we be looking at third quarter kind of representing you know, the new trough that maybe we stay at for a few quarters or are, do we still expect margins to trend down?
Bill Schumann: Well I don’t know if it will be the new trough or not. We expect margins to be down in the fourth quarter, but you know still probably 13 percent. We’re probably going to do a little bit better than the range that we anticipated at the end of last quarter for energy production.
Bill Sanchez – Howard Weil: Ok. Thank you all for the time.
Operator: Your next question comes from Rob Mackenzie with FBR Capital Markets.
Rob Mackenzie – FBR Capital Markets: Good morning guys. Question for you Peter, and if I can ask you to be a little bit more prospective so we don’t miss the forest for the trees here. Can you give us a feel for how you’re thinking is developing on the outlook for orders you know, broadly next year and the year after with specific focus being paid on some of the other growth areas that aren’t really seemingly pressing the stock such as separation. With Marlin coming on field, BC 10 order being placed and a couple more potentials out there, how and when do you think we can see those kind of projects become material to the recurring order stream for FMC?
Peter Kinnear: That’s a good question, and I think we’ve commented before that we had somewhere 10 to 12 funded studies that we do in the subsea separation sector. You know, those sometimes take a while to come to fruition in terms of available technology and to do what’s requested on the sea bed. But we’re still very bullish on subsea processing. We’ve had activity, some of the Norwegian, in the Norwegian sector, quite a bit of studying going on about subsea gas compression and that arena. We’ve done a number of funded studies for Statoil and that technology, so we’re trying to branch out. You know anything on a seabed that deals with separation or boosting, we certainly have a very strong interest in. You know we think we have a very strong team and track record so the timing of it is always tricky to predict and that’s, and you know I can say it’s still a lot of strong interest, whether an oil company makes a decision. In some cases, they have to do something on the seabed in terms of separation to make that project economic. In other cases, maybe it’s a decision topside versus subsea and if you’re risk adverse, you may do it on top side and not go subsea.
Rob Mackenzie – FBR Capital Markets: So if I take Marlin for example, the project you’re going to install you know, second, third quarter next year, you know that field’s got what, give or take 80 producing wells at high flow rate and this facility, you know your designed for as I understand it for one well. You know, assuming that works, is it unrealistic to expect you know half or more of the wells to order similar system to test apparatus there now, give or take $50 million a pop?
Peter Kinnear: No, it’s not. I mean it’s not unrealistic. I just, I mean how long do they want to do the pilot you know, once they get an install and operation. Are they going to want to run it a year, a year and a half, two years you know to make sure it maintains efficiency and that sort of thing from the wells? And you know (Petro Ross) is somewhat complicated in that they have a huge growth profile and you know, does this take priority versus drilling new wells and how you, how they spend their money and all that sort of thing gets cranked into the equation. So I mean, particularly on Marlin, we’re very bullish that we think we have a unique technology that really helps them in terms of the percentage of water cut that’s coming from the wells and to rejuvenate a field as you say that has many, many subsea wells sitting there.
Rob Mackenzie – FBR Capital Markets: Great. Thanks. And if I can ask you to just kind of give a visionary viewpoint if you will call it, three, four, five years from now, what percentage of your backlog and/or orders do you think will be coming from rig less projects such as Brownfield, applications like this.
Peter Kinnear: Well we hope it’s pretty high. I mean we haven’t really penciled a lot of numbers to what it could be, but in terms of growth, it’s a big vision to us to add resources and capabilities in this arena and you know, to capture the early, you know, be the early adopter and provider of this technology for the industry.
Rob Mackenzie – FBR Capital Markets: Great. Thanks. And one final question, shifting gears here. What is your clients’ with work in the Gulf of Mexico been telling you since the moratorium has been lifted. You know, there’s chatter out there that maybe one deep water permit close to being approved for drilling a new well. What are you hearing from your customers in terms of resuming orders potentially?
Peter Kinnear: The biggest we see is permitting. The oil companies are going through you know, many, many iterations of submissions to get their permits and I think this is going to be a difficult thing in terms of that process. So I mean the first step, they’ve got to get the permits, and then you know, they can start to proceed. But the permitting in my mind is the big hurdle that’s going to you know, slow up the pace of a return to normalcy of the Gulf.
Rob Mackenzie – FBR Capital Markets: Has what your customers been saying to you changed at all in the past couple of months?
Peter Kinnear: No, not really. I mean it varies by customer. You know, Shell for example, is you know, we had an ongoing project with Shell and they said continue working and manufacturing the equipment and you know, we’re committed to the Gulf and we’ll eventually get the permits to install it and you know, we – they’ve also made the decision to you know, pay standby rates for the rigs and you know they’re paying standby rates for some of our key offshore technicians. And so I mean Shell is, if you’ve got enough cash flow and you know Gulf of Mexico is a key critical resource play for you, you’re going to hang in there and do what you need to get through this period.
Rob Mackenzie – FBR Capital Markets: OK. Thanks Peter. I’ll turn it back.
Operator: Your next question comes from Stephen Gengaro with Jefferies & Co.
Stephen Gengaro – Jefferies & Co.: Thanks. Good morning gentlemen.
Peter Kinnear: Good morning.
Stephen Gengaro – Jefferies & Co.: Can you give us a little more color on the energy production margins? I know that you know, you’ve told us and telegraphed pretty well the path of margins off of what you see in the backlog and how do you feel like it plays out over the next several quarters?
Bill Schumann: You know we’re going to average close to 15 percent this year. A lot of those projects were priced in the 2008, early 2008 environment where we were anticipating tight supply chain. Frankly, the pricing environment was better than it is today, and when we began executing those, we found that the supply chain wasn’t as tight was we anticipated and we executed a lot better, and we haven’t grown to 20 to 30 percent rates that we’ve grown at previously. We found that we’ve been able to execute better and really improve our margins through a combination of those items. Pricing over the last 18 months has been much more competitive. We’re beginning to see that in the margins. You’ve seen the margins come off every quarter this year and we expect it to come off in the fourth quarter this year. And I can’t predict what the quarterly progression of margins is going to be next year. We anticipate that the average margin next year will be lower. We don’t know. The average margin I should say in 2010. I can’t tell you how much we’re going through a detailed evaluation right now to understand which projects are going to be executed, the margins on those projects, and in particular how some of the execution improvements that we’ve attained this year are included in those margin estimates for the various projects. And we’ll have a much better number next time we have this call.
Stephen Gengaro – Jefferies & Co.: Thanks. And to add a little color to that, will you look at the pricing of the most recent project awards? How does that compare to what you would have won say six to nine months ago?
Bill Schumann: They’re probably about the same six to nine months ago.
Stephen Gengaro – Jefferies & Co.: Thanks. And then just a final on the balance sheet, you bought back stock in the quarter. You’re obviously in extremely strong shape. What’s your sort of wish list in order of preference for utilizing free cash and cash on the balance sheet?
Bill Schumann: Well I mean we’d like to utilize it probably if we had a choice, 100 percent funding internal projects, whether it’s light well intervention or other R&D projects. That hadn’t been the case and we don’t expect it to be the case. Absent that, we’d like to find some technology oriented acquisitions, particularly that will add some technologies to our subsea processing capabilities and as you can tell this year, we really haven’t found any of those. We’re still looking. And absent that, we’re likely to continue to repurchase stock. You know, kind of the rates that you’ve seen, we try to be opportunistic. You saw us buy more stock in the second quarter than the third quarter but we have repurchased stock every quarter since 2005 with the exception of the fourth quarter 2008. So I think you can probably continue to see a path forward similar to what we’ve seen.
Stephen Gengaro – Jefferies & Co.: Very good. Thank you.
Operator: Your next question comes from Collin Gerry with Raymond James.
Collin Gerry – Raymond James: Hey good morning guys. Bill, I wanted to maybe drill down a little bit deeper in the 2011 outlook recognizing that you’re still going through the budgeting process and everything, but as we look at subsea, we’ve talked about backlog and the $3.5 billion ranges we exit the year. I’m trying to understand just in a ball park kind of frame what that means for 2011 revenues, and the way I’m looking at is, if we go back to ‘07 you ended at about $3.9 billion, but you know, subsea revenues the following year came out in the $3 billion range. So using that as a barometer, sometimes you exit the year with higher than prior year’s backlog and revenue, sometimes a little bit lower. Capacity has been added. Putting all that together, I guess I’m trying to get some sort of framework about what we can expect for 2011. Is $3.5 billion in the right ball park?
Bill Schumann: $3.5 billion for...
Collin Gerry – Raymond James: For subsea revenue.
Bill Schumann: No, that’s probably too high. You know if you look at 2007, we received a (pass floor) order I think in the last two weeks of December, so we weren’t able to execute much of that in the next year. So you know the amount of backlog that we execute in a particular year, really depends on the character of the backlog. We have again; we haven’t gone through the details. We kind of expect if we end the year at $3.5 billion, that we’ll be able to execute about 60 percent of that during 2011. And then we’ve got the customer support of roughly $700 million. It doesn’t really flow through backlog except on a monthly basis. And then the question is how much book and turn volume do we get. In other words, orders that we get during 2011 that we’re able to begin execution of. And you know that’s run probably from $400 to $500 million, maybe a little bit higher, again depending on the timing and the character of those projects that are awarded. So I think if you go through that arithmetic, you come in closer to 33 than 35.
Collin Gerry – Raymond James: Right. That’s extremely helpful. Thanks. I guess if I just switch gears, on an unrelated follow-up, orders on the surface side look to bump up pretty good sequentially. I wonder what’s the driver of that? I would guess it’s North America, but we’ve seen this kind of delayed, delay in frac crews and frac availability. Are you seeing a rebound from that in terms of order rates and I guess give us the prognosis on the international side as well.
Bill Schumann: No, you’re right. The bump up in our surface orders was in North America. Are you talking about also on the frac side, I mean in fluid control, you know I think our orders were up 75 percent in the first quarter, another 50 percent in the second quarter, and while they came down from the second quarter, in the third quarter, they were still over double what they were a year ago, so that business is you know, running at record levels given the current rig count.
Collin Gerry – Raymond James: Right. I guess I was more thinking industry wide, it seems the frac business is so tight that I was wondering if that was causing some sort of delay in well head orders that now we’re delivering a lot of frac equipment, you’re seeing a pickup in that order rate.
Peter Kinnear: I don’t think that’s been – I think it’s more driven just by the rig count. We haven’t seen delays in well head sales for that reason.
Collin Gerry – Raymond James: OK. That’s it for me. Thanks so much.
Operator: Your next question comes from Kurt Hallead with RBC Capital Markets.
Kurt Hallead – RBC Capital Markets: Good morning gentlemen.
Peter Kinnear: Good morning Kurt.
Kurt Hallead – RBC Capital Markets: I had just a couple quick follow-ups here. You referenced the impact from the Gulf of Mexico moratorium on the customer support level. You threw out a $500 million number. You threw out a $700 million number. Not wanting to get into too many semantics here, minutia with you, but generally speaking, what was the dollar impact in the quarter and what do you expect that dollar impact to be as we roll forward on a revenue basis and then from an earnings standpoint?
Bill Schumann: We, in 2009 we had about $500 million of subsea business in the Gulf and you know, that’s been split roughly 20 percent for our customer support or after market, and 80 percent projects. And we had estimated that the moratorium in the Gulf would impact us between $100 and $150 million in the second half of the year. And you know we’re significantly less than that, maybe 50 percent of that even. And it’s a little bit difficult to say exactly what the impact is, but that’s kind of the order of magnitude Kurt. That’s for 2010. Now expect some impact obviously in 2011 as we’ve had some major subsea projects such as Cascade being delayed and others that are delayed that wouldn’t have impacted 2010 much, but will really impact us in 2011. And that’s reflected in the guidance that we’ve given you on revenue also.
Kurt Hallead – RBC Capital Markets: OK. And in that context, to your answer to a prior question, I just wanted to clarify that you know $3.3 billion was for subsea revenue or total energy production. How should I think about that?
Bill Schumann: It should be subsea.
Kurt Hallead – RBC Capital Markets: Right. OK. That’s what I thought. And then on the fluid control, you know, what percent of energy processing revenue does fluid control represent and as we move out into next year given the growth in demand for pressure pumping equipment, and I think you’ve increased the equipment you sell into that business, you know what percent of energy processing do you think fluid control is and will be?
Peter Kinnear: Sorry, Kurt, I didn’t have the microphone on. It actually in the third quarter was about half of the volume in the processing business.
Kurt Hallead – RBC Capital Markets: OK. And once again, as time goes on relative to the other businesses in processing, I would imagine you’re going to expect that to continue to increase. What do you think you can get up to?
Peter Kinnear: Well, I think you know, we’ve caught our other processing businesses at we think at a low level. We think we’re going to see some increased orders and volume that will be reflected in margins and revenue in 2011. So I don’t think that number is going to increase dramatically. You know the fluid control business is going to be tied to the horizontal rig count and the total rig count, maybe more to the horizontal rig count actually than total rig count given the frac’ing intensity of that business. So you know, depending on your forecast for rig count that will be the direction the fluid control business goes.
Kurt Hallead – RBC Capital Markets: OK. And then you referenced your expectations again in energy production margin progression. What about energy processing margin progression?
Peter Kinnear: Well, we anticipate the fourth quarter to look much like the third quarter you know, approaching 18 percent margins, and I wouldn’t expect a lot different than that in 2011. Again, actually the margins in energy processing are really based on how big is fluid control, and if you think the rig count is going to come off, the margins are going to come off, and if you think rig count is going to up or stay where it is, maybe the margins increase a little bit.
Kurt Hallead – RBC Capital Markets: OK. And then one broader question, as we look out going forward on the subsea market, obviously West Africa, Brazil, what’s your outlook for some of the markets and subsea opportunities in the far east?
Peter Kinnear: You’re right. When we look at Asia Pacific region we see significant growth. The northwest shelf in Australia, the gas projects, Shell Prelude, Chevron Wheatstone, Woodside’s got two big projects. So we’re real optimistic about the potential growth in Asia Pacific. You always have to be careful of the timing, although Shell has said they plan to proceed with Prelude and Chevron has been positive about progressing Wheatstone, but there should be good opportunities in Asia Pacific. I think the West Africa projects will continue. We’re also I’d say, encouraged by the North Sea. As you noticed, this past year, Statoil has been really back in business, and that’s encouraging. So I would say West Africa will continue to be important, but there will be some real interesting growth in Asia Pacific.
Kurt Hallead – RBC Capital Markets: So Asia Pacific, it looks like you highlighted Australia there. Any other emerging markets that you guys, that have popped onto the radar screen that may have surprised you to the upside?
Peter Kinnear: Well we haven’t heard much about Indonesia, and Chevron’s got a big project in Indonesia. So does Conoco, so I’d say Indonesia is emerging. And then China, there’s some interesting projects in China. I’m not exactly sure how fast that will develop. But the big ones are still right in the near term are going to be Northwest shelf in Australia.
Kurt Hallead – RBC Capital Markets: OK. Great. That’s it for me. Thanks a lot.
Operator: Your next question comes from Kevin Simpson with Miller Tabak.
Kevin Simpson – Miller Tabak: Thanks and good morning.
Peter Kinnear: Morning Kevin.
Kevin Simpson – Miller Tabak: Couple questions. I guess just following up on subsea first, John, could you give us a sense of you know, kind of the next steps in Brazil, what you see coming in 2011 on developments. We’ve seen a lot of the you know, those two big orders for, which turned into one I guess for the (presalt) fields. Are we going to see more of that next year do you think or is Brazil going to be, is it going to take longer before you know, it shows up on the order books?
John Gremp: Well this, just maybe to recap on Brazil, there are non (presalt) requirements came through those multi-year contracts for trees and manifolds, and there were three batches of trees, two of them have been let, third one has not been awarded yet, so that’s still out there. There were two big frame agreements for manifolds. We won the first one. The second one I’m not actually not sure they’ve even opened the tender so I don’t know what will happen with that. But that pretty much takes care of Brazil’s non (presalt) requirements for the next couple of years, so what’s left? More (presalt). There’s nothing official about additional (presalt) equipment, but when you just add up the number of FPSO’s and the plans and the rigs that Petrobras has got planning for (presalt), they will presumably need to order more trees, but there’s nothing official. I guess if we had to guess, sometime next year there’d be additional requirements for (presalt) requirements. And then I want to go back a little bit to processing. You know, we’re encouraged about the adoption of this new technology, not only with Shell in Brazil with BC10, with Marlin, and then there’s another processing project for Petrobras called Bongo that’s in the works. Maybe it will be awarded sometime next year. So I think there’s opportunities in the subsidy processing. So a few more contracts possibly on non (presalt), possibly a (presalt) requirement sometime next year and then subsidy processing opportunities in Brazil.
Kevin Simpson – Miller Tabak: OK. That’s great. And one of the swing markets is, seems to me to be Nigeria, a lot of product fields backed up you know, that have been discovered, but you know they hadn’t been moving forward on. What’s the outlook there in terms of timing, I guess and do you think that we have to see the election come and go and whatever happens just after that before you know, this kind of log jam breaks there?
John Gremp: Forecasting timing in Nigeria is a tricky business, but you’re right. There’s a number of projects that are stacking up. The Shell Bongo project is in the queue. Exxon’s (Air high) project is in the queue. (Total and Gina’s) in the queue. These are – tenders have been released, bids submitted, in the process of evaluation. How much of that will get done before the election, how much will get stalled until after the election, is unknown. I think a couple of them are pretty close. I’d say that Shell Bongo and (Air high), they may try to get those in before the election. (Total) has said they expect to make their final investment decision on (Gina) before the end of the year, so it looks like they’re all trying to get those moving, but you’re right. If they can’t get these things sewn up before the election, they may wait until afterwards.
Kevin Simpson – Miller Tabak: OK. Thanks John. And just one other, to go back to the margin question. Bill or Peter or John, you know margins have come in a little bit higher than had been forecast, you know, obviously particularly strongly in the first half, but even last quarter, and it sounds like that you’re, you know Bill, your forecast for 4Q a little higher than you’d been saying before. As you analyze what it is that’s making that happen, you know, I’m just wondering what you’re seeing that we can pull forward to you know, to ‘11 and ‘12 and then you know, maybe this whole issue of margins you’re seeing in the backlog you know, on the orders say over the last quarter versus the you know, six, nine months ago.
Bill Schumann: What we saw in the first quarter, a little bit in the second quarter really was supply chain oriented. But throughout the year, we’ve just been able to execute better, and that’s really what we have to assess in looking forward to 2011, is how much better can we assume we’re going to execute than we’ve already executed. And frankly, execution has been the reasons we’ve been a little bit higher in the third quarter and that we expect now in the fourth quarter to be a little bit higher. We’re just executing better. We’re getting more things done on time. We’re having to expedite less. We’re making more schedules and we’re spending less hours on the assembly floor.
Kevin Simpson – Miller Tabak: So is there any reason to believe that that would not continue you know, X a huge expansion in you know, production? Of course we’re likely to see a good size expansion next year, but you know.
Bill Schumann: When we make these improvements in efficiencies, we kind of plug them into the estimates of completion on all of our projects, so in theory; we have all those, all the current sustainable improvements that we’ve made are included in the pricing, or including in our estimates to complete on the projects we’re executing. But what we need to do, and part of the reason we’re not giving guidance now is to go through and see how much further improvements in execution we can expect during 2011.
Kevin Simpson – Miller Tabak: OK. Thanks. That’s it for me.
Operator: Your next question comes from Bill Herbert from Simmons & Co.
Bill Herbert – Simmons & Co.: Thanks. Good morning. I don’t think we’ve talked about subsea orders for 2011 with any specificity, so let me try and take a stab at that. You’re going to do something north of call it $4 billion this year, and I’m just curious. I mean we’ve all see the Quest data. It looks like the number of trees that are going to be awarded are, could be considerably higher, but you’ve won everything this year. I’m just curious as to what is a reasonable expectation for dollar amount of subsidy orders for next year for you guys. Do you expect to be down, flat or up?
John Gremp: This is John. Maybe just, I’ll answer your question directly, but I think we need to look at the market a little bit, and you’re right. In 2010, in terms of major awards, we had more than double the major awards awarded versus 2009. We had five major awards in 2009 that was so far ten in 2010, maybe a couple more. So we’ll be more than double, so (inaudible) increase in the market. And you’re right. We did well during that period. A lot of those were our partners. They were phase two projects, so we did well in 2010 in terms of picking up the major projects. Now you go to 2011, and you look at the major project list, and it’s robust. Right now it’s larger than the 2010 list, but we know that will move. I would say that for the 2010 market, it is as big as 2010 and has the potential to be larger if there’s not too much movement to the right. And then you look at our participation, probably not the same percentage success simply because those aren’t the timing of when our partners have projects versus other customers. So we probably won’t do as well in terms of percentage of wins. So you add all that up and I think we’d say we’d see inbound for subsea about the same as 2010.
Bill Herbert – Simmons & Co.: OK. That would be strong. OK. Second question, not the most galvanizing subject, but it makes a big difference with regard to your bottom line Bill, and that is other expense. You know for example, big swing factor this year versus what you did in 2007. I think 2007 you know, it was actually other income of about $30 million, and you’re going to do, assuming you do, kind of $11 million in Q4 negative again. You’ll be negative 57 this year. How should we think about other expense/income for 2011 and remind us what the drivers of that line are.
Bill Schumann: Other income expense is kind of a lot of things that are left over frankly. We don’t assign to the operations of the corporate staff. A large components are our equity compensation, and LIFO and differences in pension expense between kind of the normal cost and the FAS 87 costs, items like that, and foreign exchange. And if you kind of take that, we’ve kind of given guidance this year that we should be about $11 million a quarter absent any foreign exchange gains or losses, which is kind of an ideal world that we don’t live in unfortunately. We do tend to have some volatility in that based on foreign exchange gains and losses. Most of those foreign exchange gains and losses kind of come back to us over time. There’s more issues than real gains or losses, so we’ll have some positives and some negatives there. The other component that we have had in the past couple quarters I guess, is this cost of a non-qualified deferred comp plan, and that was $2 million in the third quarter, and what that is, we have a kind of a non-qualified 401K. One of the options in there if FMC stock. We happen to have a large component of that and when the stock goes up, our liabilities to employees goes up. We have some FMC stock trust to offset that, but we can’t for accounting purposes (inaudible) a gain on that. Currently we have some volatility.
Bill Herbert – Simmons & Co.: So then actually you expect that number to be very high for next year, right?
Bill Schumann: That’s right.
Bill Herbert – Simmons & Co.: But baring that...
Bill Schumann: I don’t know. Again, we haven’t gone through the details on the budget. Absent that, I don’t see reason for a large change in OID in 2011.
Bill Herbert – Simmons & Co.: Yeah, and of course you’re guiding for...
Bill Schumann: It’s $11 million per quarter.
Bill Herbert – Simmons & Co.: OK. So let’s call it $45 million round numbers for next year. And then tax rate for next year, how should we think about that?
Bill Schumann: Well it depends on how you vote next week.
Bill Herbert – Simmons & Co.: Well, I think how all of us vote, but go ahead.
Bill Schumann: We’ll probably be in the 30 to 32, maybe edging towards the upper end of that range.
Bill Herbert – Simmons & Co.: Why edging towards the upper end?
Bill Schumann: One of the issues that we deal with is, we generate a lot of cash offshore, and we don’t always have investment opportunities for that, and that means that we have to bring it back to the U.S., and when we bring it back to the U.S. we essentially gross up whatever tax rate we’ve incurred to 37 percent which is our U.S. Federal and State tax rate. So that will probably drive us towards the high end of that range.
Bill Herbert – Simmons & Co.: OK. And you probably said this in your opening remarks, but I missed it. What do you expect the average tax rate for 2010 to be?
Bill Schumann: Well, we’ve averaged, let’s see.
Bill Herbert – Simmons & Co.: Well, say like you were 20.7 in the third quarter, and you kind of gave me the fourth quarter number or just the average for 2010, and that will allow me to back into the Q4 numbers. I mean that’s what I’m after. What is the Q4 guidance?
Bill Schumann: It’s probably not high, probably 32, 33 for Q4.
Bill Herbert – Simmons & Co.: All right. So we’re talking 31.5 percent for the year, something like that?
Bill Schumann: Yes.
Bill Herbert – Simmons & Co.: OK. That’s all for me. Thank you very much guys.
Operator: Your next question comes from Brad Handler with Credit Suisse.
Brad Handler – Credit Suisse: Thanks. Good morning guys. A couple of unrelated, or a couple of different sort of questions. The support services work in the Gulf of Mexico that you’re not doing today, I guess sort of a simple question. What happens to it? Is it deferred until work gets back in earnest? Is it something that actually gets lost?
Peter Kinnear: I would say, it’s Peter. I would say you know, it gets deferred, and what we’ve tried to do is you know some of our customers have agreed to kind of a standby rate to maintain our offshore personnel. Others we reassigned to the international activity that we’ve picked up and booked. Some we’ve assigned to surplus well. Some we’ve assigned back into assembly. A lot of our offshore service personnel, you know a career path is through the shop up through assembly where they get familiar with the equipment, then go offshore with it. So we haven’t really laid anybody off. We’ve kind of redeployed them, but we’re not getting the same revenue base that we were as if they were fully deployed in the Gulf of Mexico.
Brad Handler – Credit Suisse: Sure. But presumably that work is work that needs to get done. Operators come back to it at some point.
Peter Kinnear: Yes, I mean we just under the timing, just the permitting process, I mean the first step I the process. I mean is the government going to give them permits and how long is it going to take for them to get permits and can they go back to work?
Brad Handler – Credit Suisse: Sure. And I don’t really mean to try to lead you here, but I’m just sort of wondering, does the work done become more, does more need to get done if it doesn’t get done in a timely manner? Is there some aftermarket service component which being neglected in this process or am I thinking the wrong way?
Peter Kinnear: It slides to the right in my mind.
Brad Handler – Credit Suisse: OK. And Bob, I’m not sure if you’re at the table there, but can we talk about your frac pump business a bit, maybe revenue growth in sequentially perhaps and then thinking about the capacity side as well.
Bob Potter: Yes, well the frac pump business is going very well. We are obviously at record levels for us. We introduced the product line in ‘07 as you may recall. We are already booking orders well into next year. At the same time, we’re investing a lot of capital right now to continue to expand the capacity to produce those pumps. The outlook is very good.
Brad Handler – Credit Suisse: Would you, can you give us a sense of how much capacity you’re trying to add or a multiple of what you can produce today perhaps?
Bob Potter: Yes, I think latest look in terms of capacity, we’re looking at about a 20 to 25 percent capacity expansion in our current well service pump capacity. Keep in mind as well, we are also using a fair amount of sub contract and also other FMC manufacturing plants that have large horizontal capacity to manufacture some of the critical components like the fluid ends.
Brad Handler – Credit Suisse: So in other words, we shouldn’t think that’s all necessarily a volume add. It’s more being able to bring it in house. Is that what you’re trying to tell me? Or no, that’s, you’re thinking of it as the ability to add capacity by 25 percent.
Bob Potter: Correct. And of course as it relates to the other internal capacity we use, it’s a function of what kind of orders we receive in those other businesses that are currently supporting well service pump production.
Brad Handler – Credit Suisse: Sure. And as it relates to your pump, is it the larger pump that might be associated with 2500 HP units and bigger, or are you doing conventional sized ones as well? I’ve forgotten.
Bob Potter: Well you know, we have a conventional pump business. It doesn’t really get into what we classify as wells service cementing and stimulation activity. That’s a different animal. So on the well service pump side, it’s the 2500 horse and greater.
Brad Handler – Credit Suisse: OK. Thanks guys. Appreciate it.
Operator: Your next question comes from Geoff Kieburtz with Weeden.
Geoff Kieburtz – Weeden: Thanks. A couple of follow ups. Bill, I understand all of the uncertainties around the energy production margins next year, but I thought I heard you intimate that maybe 13 percent is your current thoughts about the bottom. Did I hear you correctly?
Bill Schumann: No, that was a fourth quarter number.
Brad Handler – Credit Suisse: OK. Are you willing to throw out a number that you can think you probably won’t go below?
Bill Schumann: No, not at this point.
Brad Handler – Credit Suisse: OK. And Bob, on the fluid control in general, wells service pumps as well as (chicks and weako) what is your lead time now? Somebody puts in an order today. How fast can you fill that?
Bob Potter: Well obviously it’s totally different for well service pumps than it is for our (chicks and weako) product line. You know, (chicks and weako) product line is a pretty classic book and turn activity, try to maintain a very high degree of responsiveness to our customers in those flow line products. Well service response on the other hand, you know that’s place orders, build the backlog. Bill mentioned earlier we have record backlog of a pretty significant portion of which is well service pumps as well as I might add, a newly manifold trailers that we’re providing to the North American frac industry as well. So we’ve got lead times involved. I think as I said, we’re into next year’s build plan as we speak, and what we’re trying to do with the capacity expansion is reel that back in some so that we can shorten those lead times and take advantage of the opportunities we think will be there.
Brad Handler – Credit Suisse: OK. Are you in the vicinity of a 12 month lead time or is it less than that?
Bob Potter: Less than that.
Brad Handler – Credit Suisse: OK. And I guess on a short term question, kind of your full year guidance implies $0.66 to $0.71 in the fourth quarter I believe. Can you give us some idea of what the variables that are going to move you to the high end or the low end of that range?
Bill Schumann: You know, we’ve got a lot of moving parts in this business. That’s quite frankly normal variation of things falling into one quarter versus the other and good things happening versus bad things happening, and I can’t tell you that we’ve assumed lower rig count and bad execution at the low end, and vice versa at the top end. A nickel is probably a normal variation for us in terms of forecasting one quarter’s EPS.
Brad Handler – Credit Suisse: Is there a segment of your business which is going to be the biggest driver of higher or lower?
Bill Schumann: Well, I guess subsea is the biggest component here, and if you look at third quarter versus fourth quarter, that’s you know, we’re forecasting larger revenues in subsea and lower margins.
Brad Handler – Credit Suisse: So it’s fair to say that we’re coming down to the variable, the biggest variable is execution and subsea projects.
Bill Schumann: That’s probably right, yes.
Brad Handler – Credit Suisse: Great. Thank you.
Operator: Your next question comes from Joe Hill with Tudor Pickering.
Joe Hill – Tudor Pickering: Morning guys. Just had a question about the businesses in energy processing that aren’t fluid control. If we think about the 2011 picture for everything from measurement solutions all the way to blending and transfer, how much of a grind down do we expect in terms of top line over the course of the year?
Bill Schumann: We would expect the (inaudible) for those business, for measurement solutions, loading and direct drive in our material handling businesses.
Joe Hill – Tudor Pickering: I’m sorry Bill you cut out there.
Bill Schumann: Oh, sorry. We would expect the 2011 will be better than 2010 for measurement solutions, loading, material handling and our direct drive business.
Joe Hill – Tudor Pickering: OK. Good. How much ball park do you think?
Bill Schumann: Oh, I don’t know. It’s going to be better. We’ll give you more detailed guidance.
Joe Hill – Tudor Pickering: OK. And just kind of thematically, what’s driving the turnaround there?
Bill Schumann: Well actually, we had fairly low orders kind of in the back half of 2009 and the front half of 2010 and so we’re kind of going through that in terms of execution now. We’re beginning to see the prospects for higher orders in those, and we expect that to turn around in 2010 driven by measurement and loading.
Joe Hill – Tudor Pickering: OK. And then finally, can we get just kind of a little bit more granularity on surface well head? If we break that business out into the domestic and international portions, are we tracking the rig count in each side of the business or is one outperforming the other from that perspective?
Bill Schumann: Well we had a fantastic 2009. Our international business, in total our 2009 was up over 2008 despite the rig count. So for us to even match 2009 is pretty difficult. North America is up dramatically. It’s probably lagging the rig count in terms of exact percentages increasing and the international business has come off a little bit from 2009. And the total is I think because of the weighting towards international businesses that were off a little bit versus 2009, but 2009 was just an outstanding year for us in surface.
Joe Hill – Tudor Pickering: OK. Thanks a lot.
Operator: Your last question comes from Brian Allmar (ph) with Global Hunter.
Brian Allmar – Global Hunter: Good morning gentlemen.
Peter Kinnear: Morning.
Brian Allmar – Global Hunter: I guess I hate to ask a presumptory question about capital allocation, but your discussion on higher tax rate, sort of bringing cash back onshore made me think about where you could allocate capital overseas in terms of either expansions or acquisitions, and maybe just a little commentary on that.
Bill Schumann: Well we’ve as I mentioned, we’ve kind of ratcheted down our capital spending expectations this year, probably every quarter as we’ve given guidance, and a lot of that is timing and a significant part of that frankly is related to Brazil. So you know we’ve announced this technology center in Brazil and that’s kind of, we’d hoped to do that earlier in the year and it’s moved a little bit to the right, so we would expect some significant capital investments in Brazil. The technology center for some – I don’t even want to say capacity additions, but some changes in our manufacturing mix in Brazil for subsea. So those are the big items. We also spent some money on installation and running tools in our subsea projects business, and we would expect to spend more money there in 2011 than we spent in 2010.
Brian Allmar – Global Hunter: OK. Are there any interesting technologies that we could see a little bolt on or tuck in acquisitions either in southeast Asia or Brazil that look interesting at this point in time that are on your radar?
Bill Schumann: Well, we’re looking at a few. Quite frankly, there aren’t any that are high probability right now.
Brian Allmar – Global Hunter: OK. Fair enough. Then the hour’s up so I’ll end it at that. Thank you.
Operator: Thank you. I’d like to turn the call back to Rob Cherry for closing remarks.
Rob Cherry: Thank you operator. This concludes our third quarter conference call. A replay of our call will be available on our website beginning at approximately 2:00 pm eastern time today. If you have any further questions, please feel free to contact me. Thank you for joining us, and operator you may end the call.
Operator: This concludes today’s conference call. You may now disconnect.